Operator: Ladies and gentlemen, thank you for standing by and welcome to the RBC Bearings' First Quarter Fiscal 2021 Earnings Conference Call. At this time, all participants line are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker today, Mr. Brooks Hamilton, Investor Relations. Thank you. Please go ahead, sir.
Brooks Hamilton: Good morning, and thank you for joining us for RBC Bearings' fiscal 2021 first quarter earnings conference call. With me on the call today are Dr. Michael J. Hartnett, Chairman, President and Chief Executive Officer; and Daniel A. Bergeron, Vice President, Chief Financial Officer and Chief Operating Officer. Before beginning today's call, let me remind you that some of the statements made today will be forward-looking and are made under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those projected or implied due to a variety of factors. We refer you to RBC Bearings' recent filings with the SEC for a more detailed discussion of the risks that could impact the Company's future operating results and financial condition. These factors are also described in greater detail in the press release and on the Company's website. In addition, reconciliation between GAAP and non-GAAP financial information is included as part of the release and is available on the Company's website. Now I'll turn the call over to Dr. Hartnett.
Michael Hartnett: Thank you Brooks and good morning and welcome to RBC's first quarter fiscal ‘21 conference call. Net sales for the first quarter of fiscal 2021 were $156.5 million versus $182.7 million for the same period last year, a decrease of 14.3%. The first quarter of 2021 sales of industrial products represented 37% of net sales; with aerospace products at 63%. Gross margin for the quarter was $59.5 million or 38% of net sales, this compares to $70.7 million or 38.7% in the same period last year. Adjusted operating income was $29.9 million, 19.1% of net sales compared to last year's number of $38.5 million or 21.1% of sales. Adjusted EBITDA was $43.8 million, and 28% of net sales compared to $50.8 million and 27.8% of net sales in the same period last year and we ended up the quarter with $143.6 million of cash and $23.1 million of debt. We entered this quarter with limited visibility and uncertainty due to the impact of the pandemic on the economy and travel. We continued our extraordinary measures to protect the health and well-being of our employees, customers and vendors with our strict procedures for environmental management as guided by the CDC. We continue to operate all of our plants in a safe manner and experienced a few foreign plant mandatory shutdowns that lasted a few weeks at most. Sales of industrial products were down 13.3% from last year. The prime variance from last year fell in the natural resources markets, mining and oil and general industrial activity. Sales to the industrial aftermarket were down 12.3% driven by the main industrial distributors in both the United States and Europe. A few quarters back we discussed a few green shoots which we started to see the benefit in Q1 this year mainly in wind, [semicon], military vehicles and high-speed trains. Aerospace commercial and defense first quarter 2021 net sales were down 14.9%. Aerospace defense OEM and aftermarket increased 11.9% offset by a decrease of 21.4% in commercial aircraft OEM and aftermarket. Important contributors for aerospace defense, for helicopters, engines, missiles and airframe projects. The uncertainty around commercial aircraft travel due to the pandemic continues to put pressure on the commercial aircraft builders and their supply chain. The major airframe producers appear to have a clear review on the build rates over the next 12 plus months. That in turn is setting our requirements to meet their expectations. We continue reworking and fine tuning our production schedules and capacity to align our supply of our products to the new demand levels. Regarding our second quarter we are expecting sales to be between $148 million and $152 million and that is of course a difficult number to project. First of all it's challenging to guess what the GDP is going to be in our second fiscal quarter, the third calendar quarter. I've seen industrial expansion numbers as high as 20% for this period. Much of our business is in and out the same day and it never hits backlog. Basically we really never have been in a forecasting situation like this. So we're trying to play the ball in the middle of the fairway as best we can and hence we came up with that guidance. I'll now turn the call over to Dan for more detail on the financial performance.
Daniel Bergeron: Yes Thanks Mike. SG&A for the first quarter of fiscal 2021 was $26.8 million compared to $30.1 million for the same period last year. The decrease was mainly due to $4.1 million of lower personnel related costs offset by $0.8 million of other costs. As a percentage of net sales SG&A was 17.1% for the first quarter fiscal 2021 compared to 16.5% for the same period last year. Other operating expense for the first quarter of fiscal 2021 was expense of $3.8 million compared to expense of $2.1 million for the same period last year. For the first quarter of fiscal 2021 other operating expenses were comprised mainly of $2.5 million in amortization of intangible assets and $1.1 million of restructuring costs and related items and $0.2 million of other items. Other operating expense for the same period last year consisted mainly of $2.3 million in the amortization of tangible assets offset by $0.2 million of other income. Operating income was $28.8 million for the first quarter of fiscal 2021 compared to operating income $38.5 million for the same period in fiscal 2020. On an adjusted basis operating income would have been $29.9 million for the first quarter of fiscal 2021 compared to adjusted operating income with $38.5 million for the first quarter of fiscal 2020. Other non-operating expenses was zero for the first quarter fiscal 2021 compared to $0.2 million for the same period last year. For the first quarter of fiscal 2021 other, sorry, it was 0.01. Other non-operating expense by $0.1 million of foreign exchange offset by [$0.1 million] of other items. Other non-operating expenses for the first quarter fiscal 2020 consist the primary of 0.4 million of foreign exchange loss offset by $0.2 million of other items. For the first quarter of fiscal 2021 the company reported net income of $22.7 million compared to net income of $30.5 million for the same period last year. On an adjusted basis net income would have been $23.6 million for the first quarter of fiscal 2021 compared to $30.5 million for the same period last year. Diluted earnings per share was $0.91 per share for the first quarter of fiscal 2021 compared to $1.23 per share for the same period last year and on an adjusted basis diluted earnings per share for the first quarter of fiscal 2021 would have been $0.95 per share compared to adjusted diluted EPS of $1.23 per share for the same period last year. Turning to the cash flow the company generated $48.4 million in cash from operating activities in the first quarter of fiscal 2021 compared to $40.1 million for the same period last year. Capital expenditures were $3.9 million in the first quarter of fiscal 2021 compared to $12 million for the same period last year and as Mike has already said total debt as of the end of June was $23.1 million and we had $143.6 million of cash on the balance sheet. So I'd like to turn the call over to the operator for Q&A.
Operator: [Operator Instructions] Our first question comes from Peter Skibitski with Alembic Global. Your line is now open.
Peter Skibitski: Hey, good morning guys. Nice quarter in light of the environment we're all in here.
Michael Hartnett: Thank you.
Peter Skibitski: Yes. So like you touched on Mike, you guys have kind of the updated production forecast from Boeing and Airbus and I'm just trying to get a better feel of in your first quarter did you see kind of the maximum commercial aero headwinds that you think you will especially on the OE side and you just kind of you have those same headwinds the balance of this year and then the comps could easy pretty early in fiscal ‘22 or had you not slowed down your production quite the same way as we might see in the back half of ‘21 at that if I'm being clear?
Michael Hartnett: Yes. Well, I think for the first quarter this all like happened in March. I mean this whole pandemic thing and so by March, I mean you're literally moving into your first quarter production rate and you can't be moving into your first quarter production rate, if you don't have your, all of your materials inbound. So basically had all our materials inbound and so then it's almost it's impossible to reflect the change in demand in your production schedules in that sort of time period. So we ran the normal production schedules and started planning how to run the balance of the year as best possible given a tremendous amount of calculus that we went through business by business on where the baseline is and where our production rates should be set and that kind of determines what our cost needs to be in order to maintain the margin performance that we'd like to maintain. So all that churn happened in the first quarter. I don't know if I answered your question.
Peter Skibitski: Well, so if we think about the second quarter sequentially into the second quarter you're not getting down very much. It's almost close to flat in the second quarter. So are you saying commercial aero might be down more year-over-year in the second quarter but maybe it offsets a bit from industrial getting stronger?
Michael Hartnett: Yes. I think industrial gets a little stronger. Commercial aero kind of backs down a notch and just our view on that I mean, it's really, it's clear to everybody the carriers are going through a really rough patch of road right now. Everybody sees it and I think it's just as clear that the people are sick of being confined and they congregate and party whenever they get a chance. So I think what that's telling us is with the release of the vaccine by Pfizer or [Maldera] or whoever else the other hundred people that are working on it later in the quarter, later in the year which I expect it looks like it's going to be sort of an October kind of timing at the earliest. Things will get better fast. Unfortunately many of the carriers have failed, the smaller ones but the demand for aircraft capacity we expect to see exceed the supply. So just because there is not as many carriers and the people that are running the carrier lines are stressed financially. So ticket prices will go up. That will draw new money into the industry and I think this is going to happen fast. Certainly within the next six to nine months, we expect a huge turnaround and then I think when you get to the builders Boeing or Airbus they're going to have the opposite problem because the supply chain's been then damaged and they're in triage mode right now trying to figure out which of their suppliers financially are going to survive and how to reallocate work statements of work to the what they consider the survivors and we know for sure from the discussions that we've had with some of these big builders that we're in the winners column. And so we expect a considerable expansion of our statement of work. So in between now and then we're going to restructured our cost base to run at this new level to maintain some pretty decent margins and we expect towards the other end of this year to see things improving on an accelerated basis.
Peter Skibitski: That's great. A couple of questions out of that and then I will get back in queue but, I mean can you retain gross margins that at 38% or above the balance of this year? Do you anticipate?
Daniel Bergeron: We are going to try to do that. There is nothing flashing at us that tells us that we can't.
Peter Skibitski: Okay and then with regard, go ahead, sorry.
Daniel Bergeron: We have some very healthy businesses about 45% of the companies that they're doing extraordinarily well expanding margins and growing. So that's a helpful base in our independent of any of this nonsense.
Peter Skibitski: Yes. Okay. And then just on like sort of gaining share, will it come strictly from gaining statements of work or do you anticipate buying distressed assets either kind of on your own or maybe the OEMs kind of ask you to pick up some distressed players out there? How are you guys thinking about that?
Daniel Bergeron: We aren't seeing distressed assets that are attractive to us. We are seeing distressed assets but they're not attractive to us. So whether that comes full circle is to be seen. We will know it another time but we're not expecting that. We are expecting to pick up statement support.
Peter Skibitski: Okay. Got it. I'll get back in queue and let somebody else. Thanks guys.
Daniel Bergeron: Yes.
Operator: Thank you. [Operator Instructions] Our next question comes from Michael Ciarmoli with True Securities. Your line is now open.
Michael Ciarmoli: Hey good morning guys. Thanks for taking the questions. Nice quarter here in light of everything. Mike, I guess I just got to try and figure out a little bit more on commercial aerospace. I mean even what you just said a six to nine month downturn we're here in multi-year downturn. It seems like most of your customers are reporting that their OEM build revenues are down far greater than their expectations in the 60% range. We're seeing inventory de-stocking. I know just as early as last quarterly call which was May you guys were talking a little bit more optimistic about Boeing and build rates and I'm just struggling to see or figure out where you guys are getting this confidence from? I mean are you, it sounded like you were producing on normal schedules but we've seen rates come down. So can you give us a sense of what you're producing at across some of your biggest programs like the [737], the MAX and I know you said aero would be down but it just seems like some of these OEM headwinds are going to be pretty persistent for some time here.
Daniel Bergeron: Yes. Well we are producing at a rate, we're attempting to produce at a rate that's slightly lower than the build that rate the builders have advised us. So just to because I know that there's some inventory in the system I'd like to get that inventory relieved out of the system. I just don't want to push more in there. So we've basically restructured our costs plant by plant to operate efficiently at those levels.
Michael Ciarmoli: What are the conversations like with your customers, whether it's a Honeywell or Pratt or GE, I mean are you, are they revisiting their purchase orders with you or because we've been seeing that some of these larger suppliers are slowing down their inventory and their materials by pretty substantial numbers. So what are the conversations like with the customers right now?
Michael Hartnett: Well they all are different. I mean if you take Honeywell or Pratt or GE or some of the large ones you'll end up with a supply contract with them and there is a certain statement of work, certain parts and certain prices supply those parts and periodically during the week they send you a bar code of what to send them. So you don't really have any backlog on that stuff. You just electronically you get authorizations for ship. So part of the industry the big guys work that way. Boeing doesn't work that way particularly but a lot of the big subs do and then there is other subs that are smaller and they work contract to contract where they have, we give them a pricing delivery and they give us a purchase order to deliver at that price at a certain time. Now those people that in that second category actually for the most part it's a very confused lot of people who don't know what to order or when to order it or whether they should be, what math they should be applying based upon Boeing's guidance. So we try to advise them what they should be ordering, when it should be delivered and if they have orders that are in excess of what we see is their true requirements we move those orders out later into this year and sometimes into next year.
Michael Ciarmoli: Okay. And then, what about just on a couple of quarters ago you kind of gave your view on how the MAX rates would kind of dovetail with the ramp of the 777X and we've obviously got the 777X being delayed and can you give us a sense of just those two programs alone where you are on the MAX, I think at one point it certainly that the direction from Boeing looks a little muddy clearly but maybe they produce 200 next year but where are you guys on the MAX? It sounded like you were more optimistic last quarter that you were going to get to that 31 a month rate and certainly that's you've been pushed to ‘22. So what's the thoughts with that platform?
Michael Hartnett: Yes. I think the last time we talked about that with some mathematical specificity was in February and then it was pre-pandemic. This is where they expected the MAX to run and this is where they expected the 777 and the 777X to run. This was our content and therefore this was the net result. So all of that's changed. I mean so right now it's, we're just teeing up to what Boeing has projected for MAX build rates and 777X build rates and redid our manufacturing and sales plan in accordance with those rates, X what we believe was addition too much inventory in the system.
Michael Ciarmoli: Okay. But it sounds like I mean even on the last I mean when we spoke in May it sounded like that, I mean they were certification by August and 31 so it just sounds like then it's lower volumes and trying to plan accordingly here. Okay. All right, I'll jump back in queue. Thanks guys.
Michael Hartnett: I think it's a big picture thing, I mean if people start traveling and the air carriers get refinanced or healthier or whatever happens there, I mean this whole thing turns around and if that doesn't happen then this thing doesn't turn around and I'm believing it turns around and it turns around in a big way.
Michael Ciarmoli: Got it. All right. Thanks guys.
Michael Hartnett: Yes.
Operator: Thank you. Our next question comes from Peter Skibitski with Alembic Global. Your line is now open.
Peter Skibitski: Okay, shortlist today. So Mike, I was going to ask you what drove the strong growth in defense sales in the first quarter but it almost sounds like it was across the board and except for submarines my thought is that maybe submarines really ramp in the second half for you. Would you agree with that? And any color you would add?
Daniel Bergeron: Yes. This is Dan Pete. The submarines are in industrial and for the quarter they're up around 1.3% but yes we will see the ramp on marine in the second half of our year because the block nine, I mean block 59 ship it's all done and in house. So we will start working on those ships over the next nine months and that definitely will have a double-digit growth on that portion of the business force.
Peter Skibitski: Okay. That's great. And then I want to ask one question about the segment since you guys put the [queue] out which was great. The ball bearing segment, you had 29% growth in aerospace and defense in the quarter even with kind of a tough comp and I just wonder what kind of in particular drove that type of growth in that segment?
Daniel Bergeron: Yes. It's mainly our thin section bearing and on the industrial side of it it's driven by semiconductor and on the aerospace side it's driven by space.
Peter Skibitski: By space okay and then just last one for me on the industrial side, you guys have touched on it but even coming into the first quarter, you thought you'd see kind of easier comps in the back half of the year in industrial and a return to growth there and we saw that our PMI in June but has anything led you guys to change that view?
Daniel Bergeron: No. I think we finally started to see the first three weeks of July the incoming orders starting to pick up which is a good sign as Dr. Hartnett had said a little earlier our industrial side of the business two-thirds of it's in and out in the quarter. So it's a little hard to forecast that side of the business but we're starting to see it come back and that's being driven by semiconductor. It's being driven by high-speed trains in our European entity that are going into China. It's being driven by our wind projects that we're working on and it's being driven by military vehicles which are in the industrial segment, which are helping push the volumes for us.
Peter Skibitski: That's great. Actually one last one for me on the backlog, backlog did decline and even kind of the book to bill was 0.7 which is low for you guys and I know we talked about in and out type of business. Anything unusual there in that decline in terms of more risk heading into the second quarter or third quarter or do you feel like everything that we, the decline in backlog is kind of in constant with everything we've talked about thus far on the call?
Daniel Bergeron: Yes. No I think. I think it's aligned with everything we said in the call. I think certain portions of the longer lead time items on aerospace as Mike has talked about were pushed around or cancelled but that was offset by increased volumes we picked up on defense.
Peter Skibitski: Okay.
Daniel Bergeron: And it's never industrials are never a big component of our battle.
Peter Skibitski: Okay. So if we do start to see better revenue in industrial and second quarter or third quarter that might not necessarily show up in backlog ahead of time?
Daniel Bergeron: Right. Unless it all popped in the last month the quarter.
Peter Skibitski: Right. Okay. Great. Thanks for the help guys.
Michael Hartnett: Yes.
Operator: Thank you. Our next question comes from Steve Barger with KeyBanc Capital Markets. Your line is now open.
Robert Barger: Good morning guys.
Michael Hartnett: Good morning Steve.
Robert Barger: Mike, to your comment about 45% of the business that's doing well right now how's your visibility into the back half? Do you, does it feel like those are pretty firm lines of business for the next two three quarters?
Michael Hartnett: You're talking about the industrial side of the business?
Robert Barger: Yes, you had made the earlier comment about the 45% of the business that's doing well I think it was in response to a gross margin.
Michael Hartnett: Yes that's rock solid.
Robert Barger: Is that primarily the defense stuff that you've already mentioned or what are some of the product lines that are looking good from a visibility standpoint?
Michael Hartnett: Well, it's certainly marine. It's certainly helicopter defense. Let's see what see the heck else is in there, yes. We have wind in there, semiconductor. Yes. Space.
Robert Barger: Okay. Got it.
Daniel Bergeron: And missiles.
Robert Barger: Are you seeing distressed competitors on the industrial side and any comments around specific opportunities to bid on new business?
Michael Hartnett: Well, we've seen distressed competitors on the aerospace side for some time and that continues to give us opportunity to bid on business. On the industrial side the people that we compete with by and large are all big balance sheet players and they seem to be able to get through periods like this with a little pain.
Robert Barger: Okay. And you guys have a long track record of improving your operations over time. Just given the slowdown we're in do you see opportunities internally to make structural or procedural changes to the operating model that you couldn't do in normal times?
Michael Hartnett: Yes. Absolutely. We're going to combine some of our plant operations which we wouldn't do when they're too busy and we've completed one and we're working on a second one this quarter. So yes I mean we're trying to reduce the rooftops.
Robert Barger: Right. So you would expect that to flow through the income statement this year then?
Michael Hartnett: Yes.
Robert Barger: It would be material?
Michael Hartnett: No,.
Robert Barger: Okay. And what about I think in the past couple of quarters you've talked about wanting to in-house some certifications from third-party suppliers. Is that still underway?
Michael Hartnett: Yes. It's underway. We're just delayed a little bit. We're waiting for the auditors from the various agencies including our OEMs to come and sign off our processes but our processes are in place. They're ready to be audited. They're ready to be commissioned and they will impact our whip levels and our margin improvement immediately.
Robert Barger: Okay and then just last one for me, free cash flow obviously strong right now with lower CapEx and working capital management. Revenue, I mean sorry inventory has come down that much. So if revenue continues to decline mid-teens do you have an inventory target or an idea of how much you could unlock from working cap?
Michael Hartnett: Yes. I mean in our current operating rates basically the discussion that we had about the first quarter or the materials were inbound and there is not much you can do to turn that around in the short term. So we ended up with excess materials, excess whip as we brought the plant operating expenses and throughput rates down. So we will liquidate out those materials as time goes on and turn them into a finished product but in terms of finished goods, yes we need to pare down our finished goods level and there maybe $10 million or $20 million with of liberation overall and in that package.
Robert Barger: Okay. Thanks.
Michael Hartnett: Yes.
Operator: Thank you. I'm not showing any further questions at this time. I would now like to turn the call back over to Dr. Michael Hartnett for any closing remarks.
Michael Hartnett: Okay. Well that kind of sums up where we are right now and I appreciate everybody's attention and interest in the in the call today and look forward to speaking to you again later in the year. Good day.
Operator: Ladies and gentlemen this concludes today's conference call. Thank you for participating. You may now disconnect.